Operator: Greetings, and welcome to the Alteryx Fourth Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Chris Lal. Please go ahead.
Chris Lal: Thank you operator. Good afternoon and thank you for joining us today to review Alteryx' fourth quarter and full year 2020 financial results. With me on the call today are Mark Anderson, Chief Executive Officer; and Kevin Rubin, Chief Financial Officer. During this call, we may make statements related to our business that are forward-looking statements under federal securities laws. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainty. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC's website and the Investor Relations section of our website, as well as the risks and other important factors discussed in today's earnings release. Additionally, non-GAAP financial measures will be discussed on today's conference call. A reconciliation of these measures to their most directly comparable GAAP financial measures can be found in today's earnings release. With that, I'd like to turn the call over to our Chief Executive Officer, Mark Anderson. Mark?
Mark Anderson: Thanks Chris, and thank you all for joining us on the call today. Like most of us, I'm happy that 2020 is now solidly in the rearview mirror. It was a challenging year for so many. Here at Alteryx, we welcome 2021 and are excited to see that the digital transformation of everything continues to accelerate. We are seeing enterprises around the world adapt and transform with the sense of urgency that I haven't seen before. Not coincidentally, we expect 2021 will be a year of transformation for Alteryx as well, as we continue to scale and evolve to meet the needs of our customers. I submit that one cannot transform without harnessing control of one's data. And our 7,100 customers and several hundred thousand delighted users leverage the simplicity and power of Alteryx' APA platform. We have become the instrumentation layer of their transformation initiatives and deliver significant business value with the power of analytics and automation. On today's call, I'll walk you through our 2021 operating framework, and Kevin will then provide specifics on our Q4 and full year 2020 performance as well as our outlook for both Q1 and full year 2021. As many companies do, we started 2021 by defining our strategic imperatives. These guiding principles are currently being federated down to each Alteryx associate globally with an achievable operating framework rolled out in the first few weeks of the fiscal year, our first ever virtual sales kickoff delivered thoughtfully last week, we stand ready to execute in 2021. For us, that means delivering unparalleled value to our customers as we scale. One of my fundamental leadership tenets is clear and open communications. I believe clarity is critical to help us all assimilate and embrace the evolutionary path that we're on. That said, change isn't always easy, and requires increased effort and focus, but I'm proud of how the organization has adapted in my first 120 days and I believe we are setting the right course for many years to come. Our first imperative is delivering strategic customer outcomes. In 2021, we intend to evolve our go-to-market approach to focus on targets that spend the most and need our innovation the most to firmly double down on customer success and to market more collaboratively with strategic partners. I believe this is the right strategy to drive predictable, accelerating, and durable growth. We do this well with many customers today just not consistently. Throughout the year, I expect our sales productivity to improve as a result of the increased focus and discipline of this operating framework. To fully capitalize on the market opportunity in front of us, we've made some necessary stage-appropriate changes up and down the organization, and we expect to continue to add high-quality talent throughout 2021. As you know, Dean Darwin has joined us as Chief Revenue Officer; and Matthew Stauble, as Chief Customer Officer. Both Dean and Matthew have jumped in with both feet and come with extensive domain expertise in their respective areas. I believe both will help us build even deeper, stronger relationships with our customers and will provide strong leadership during this stage. In 2021, our direct sales team will be primarily focused on the largest customers and prospective customers, which generally tend to be global 2000 companies and government. We will leverage technology and distribution partnerships in a much more pragmatic way, tapping into large outcome oriented projects. I'll talk more about how we're leveraging the ecosystem shortly. Our second strategic imperative is our continued commitment to innovation and flexibility. 2021 will be a year of investment in product innovation. I'm thrilled to announce our new Chief Product Officer, Suresh Vittal. Suresh's recent experience leading key parts of Adobe's product journey to the cloud will serve our company well. We intend to extend the security and scalability of the Alteryx APA platform to work in many environments, so we will be increasing our investments in data governance and modern application development. Our third strategic imperative is broadening the ecosystem. As we expand our leadership position within the analytics market, we recognize that we can't do it alone. We believe having a vibrant and robust ecosystem of partners will function as a force multiplier. This opportunity is global and it's now, so we must broaden our reach with technology and distribution partners. Last year, we embarked on this mission with PwC as our first global elite partner. We're working well together to accelerate transformation projects at innovative companies such as Zoom and Chewy. This quarter, for example, a Fortune 500 telecommunications provider has partnered with Alteryx and PwC to fully automate and improve the accuracy of their regulatory financial statements and expects to significantly lower the cost of compliance by tens of millions of dollars. Internally, we've been building the framework to support strategic relationships. And today, I'm excited to announce that the PwC relationship has been expanded globally. Last week, we announced HCL as an elite partner and are already working closely with them to deliver digital transformation projects around the globe. Beyond go-to-market partnerships, we continue to execute on key technology partnerships with the explosion of data accelerating technical integration and business partnerships with market leaders such as Adobe UiPath and Snowflake allow for swift implementation and faster time-to-value and outcomes. Our recently announced partnership with Snowflake is a great example. Today, Alteryx is part of the Snowflake-ready technology partner program, allowing Alteryx customers to leverage Snowflake for in-database processing. The interest from both of our teams as well as customers and prospects is incredible. For example, Mr. Price, a top-performing, omni-channel retailer based in South Africa is leveraging the power of Alteryx plus Snowflake to automate analytics and run merchandise allocations and inventory planning across 1,300 stores and five million SKUs. According to Mark Stirton, Group CFO, they've used Alteryx to create analytic applications authored by merchandising managers and accountants, hosted on the Alteryx server and Snowflake where users get near real-time results. We also note that this type of response is not possible from any typical database. Also I hear consistently from partners and customers that upscaling their knowledge workers is a critical priority. Let's face it, people deserve to be freed from the limitations of disconnected systems and data sources. To be employable in this new world, workers have to develop and deliver more valuable output. Our fourth strategic imperative is to help upscale data workers globally by providing our software to educational institutions around the world, so that they can deliver data science and analytics curriculum for free. We started this in a meaningful way last year with the ADAPT program. Over 12,000 people from all over the world participated in this COVID-related program to upscale. These outcomes are near and dear to my heart as I've seen firsthand how education and upscaling can transform people's lives. The team is being built out as we speak and I'm excited that our co-founder, Libby Duane-Adams will lead this program as our new Chief Advocacy Officer. Libby remains passionate, excited and dedicated to the Alteryx community. In closing, I'm confident about our 2021 plan. Our own transformation journey will ramp throughout the year. And I look forward to providing you with more color on our progress, at our upcoming Analyst Day, later this year. In this highly fragmented market, I believe there is customer permission for one or two very large platforms to emerge. We believe that if we can continue to deliver significant business value to our customers, Alteryx can be one of these winners. We have a clear plan for success and relentless focus on customer feedback, product innovation, professional development and process improvement. As I've mentioned, our customers need us now more than ever. I am incredibly energized by the opportunity we have in front of us. With that, let me turn the call over to Kevin.
Kevin Rubin: Thank you, Mark. Before diving into the details and as we all experienced, 2020 proved to be a challenging year. However, in Q4 we saw enterprise customers spending improve, as larger more stable companies appear to resume spending, especially on digital transformation initiatives, while smaller companies continue to be cautious. We continue to see big deals getting bigger, including multimillion-dollar deals. For 2021, we are making a series of changes to our business, designed to accelerate ARR growth. Some of these changes include, bringing in new leadership into our go-to-market organization. I'm excited for what both, Dean and Matthew will bring to Alteryx, specifically operational rigor and stage-appropriate experience in leading world-class teams. Focusing our sales efforts on customers and prospects with a large propensity to buy, continuing to build strategic alliances as a force multiplier, we plan to increasingly leverage distribution partners for our smaller commercial customers, where we believe these customers will be better served, and increasing investments in innovation to accelerate our product roadmap. We believe these changes are appropriate. And will ultimately benefit our customers, through greater focus on business outcomes. Now turning to the numbers, as mentioned, we ended the quarter with approximately $493 million in ARR, up 32% year-over-year. However, ARR did come in under our $500 million guide, due to these three factors. First, contract duration was stronger than we anticipated. This means that we executed more three-year contracts that generally have lower ACV relative to one-year contracts. Second, we didn't execute in the quarter as well as we expected, specifically on the expansion business. And we are making appropriate operational changes. And third, continued effects of COVID and customer buying trends. Renewals a significant component of ARR, remains strong within our enterprise segment. While the trend of higher churn within smaller customers', impacted verticals and those with single seats of designer continued, the slightly elevated churn was most notable in Q2 of this year, but subsequently improved throughout the second half of 2020. Our net new customer adds for the quarter were 128, which is lower than historical levels, as our sales teams focused on expansion in our larger customers, particularly in our Global 2000 customers. Additionally, we continue to see higher logo churn in smaller companies. At the same time, we are seeing average deal sizes of new business increasing, which we believe is validation of our strategy to focus on customers with the greatest propensity to spend. We now have 7083 customers, including 768 or 38% of the Global 2000. Net expansion for Q4 was 122%, and a stronger 132% within our Global 2000 customers. Some of the key wins for the quarter included, Artisan Partners, Dell Canada, BT Group, Danaher Corporation, Fidelity Investments, Kraft Heinz Food Company and Pfizer. Q4 revenue was $161 million, an increase of 3% year-over-year. While contract duration did tick down slightly, when compared to Q4 2019, it remained at approximately two years. And as I mentioned, was stronger than anticipated. Consistent with what we saw throughout 2020, product mix had a favorable impact and the upfront percentage was at the higher end of the range. Before moving on, I want to remind everyone that, unless otherwise stated, I will be discussing non-GAAP results. Please refer to our press release for a full reconciliation of GAAP to non-GAAP results. Our Q4 gross margin was 94%, up 120 basis points from Q4 2019. Our Q4 operating expenses were $103 million, compared to $95 million in the same period last year. The increase in our operating expenses is primarily attributable to increases in our overall headcount levels. Our Q4 operating income was $49 million, or an operating margin of 31%. Net income was $43 million, or $0.62 per share based on 69.8 million fully diluted weighted average shares outstanding. Let me briefly summarize the results for the year. ARR grew 32% for the year and revenue increased 19% to $495 million. Gross margin for 2020 was 93% which was 90 basis points higher than 2019. Operating expenses for the year were $383 million as compared to $309 million last year. Full year operating income was $77 million or an operating margin of 16%. Net income was $66 million or $0.94 per share based on 69.6 million fully diluted weighted average shares outstanding. Turning now to the GAAP balance sheet and statement of cash flows. In the fourth quarter we generated $58 million in cash flow from operations. And as of December 31, we had just over $1 billion in cash, cash equivalents short-term and long-term investments. Before turning to our outlook for 2021, I'd like to share with you the high level framework of how we are approaching this year, where we expect to invest and the implications to our financial model. We are focused on executing against the strategic imperatives that Mark outlined and this means we will be investing now to drive the next phase of growth. This includes making significant investments in product development to accelerate innovation and in sales and marketing to better focus on larger customers and prospects. This includes greater levels of customer support and engaging strategic partners. We expect a modest and gradual improvement in the macro environment as we move through 2021. However, the changes that we are making in our go-to-market will take effect throughout Q1, and while we expect to see the benefits of this transformation begin as early as Q2, they won't be meaningfully evident until the second half of the year. In terms of seasonality, Q1 is our lightest quarter of the year in terms of bookings revenue and ARR growth, and tends to be a heavy investment quarter as we put the necessary resources in place to capitalize on our seasonally stronger second half of the year, particularly the fourth quarter. Given the shape of our typical revenue curve and the ramping of expenses, especially this year we expect our bottom line to be weaker in the first half of the year and stronger in the second. Now, turning to our outlook for Q1 and full year 2021. Our guidance assumes the following: as mentioned no material improvements in the macro environment in Q1 but a modest and gradual improvement throughout 2021. The average duration of our subscription agreements will shorten and start trending below two years and approximately 40% of TCV booked in the quarter will be recognized upfront with the remainder recognized ratably over the time of the contract. Finally, I'd like to remind you that our guidance is subject to various important risks and cautionary factors referenced in our call today and in today's earnings release. For Q1 approximately 75% of revenue will be recognized from deferred revenue and scheduled multiyear billings. Approximately 10% is expected from contract renewals with the remainder expected to come from net new business closed in the quarter. For Q1 2021, we expect our GAAP revenue in the range of $104 million to $107 million. We expect our non-GAAP operating loss to be in the range of $21 million to $18 million and non-GAAP net loss per share of $0.25 to $0.22. This assumes 67.5 million weighted average shares outstanding. For the full year 2021, we now expect GAAP revenue in the range of $555 million to $565 million. We expect to exit 2021 with approximately $625 million of ARR which translates to over 25% year-over-year growth. We expect our non-GAAP operating income loss to be in the range of a $5 million operating loss to a $5 million operating income. Our non-GAAP net income loss per share is expected to range – to be in the range of a net loss per share of $0.07 to net income per diluted share of $0.07. Our non-GAAP net loss per share assumes 68.5 million basic shares outstanding while our non-GAAP net income per diluted share assumes 72 million fully diluted weighted average shares outstanding. Finally, we expect an effective tax rate of 20%. In summary, I'm excited about what's to come in 2021. We believe the operating framework we are putting in place sets us up on the right course for years to come. We have a strong product market fit significant market opportunity a powerful business model and a strong financial position with over $1 billion of cash on the balance sheet. And with that, we'll open up the call for questions. Operator? 
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Turits with KeyBanc Capital Markets. Please go ahead.
Michael Turits: Hey, guys. I'll try to keep it to one and I'll keep it high level and for Mark. Mark good to talk to you the first time in a while so welcome and look forward to ...
Mark Anderson: Thanks a lot Michael. 
Michael Turits: I was wondering if you could just talk about your view of the broader data science market right now, and where you're thinking about where Alteryx is fitting in where you feel like your strengths are and where you feel like there's room for expansion in terms of fitting in strategically into that market?
Mark Anderson: You bet, Michael. And gosh, I feel like my opinion today is a little more informed or maybe a lot more informed than it was 90 days ago. I talk to a lot more customers, a lot more partners including the HCL partnership that we announced last week, and here's what I think Michael. I think people love our technology for what it's helped them to do, and in some cases that delivered a more valuable output for their enterprise than they were doing before with one hand on two separate keyboards, different versions of Excel trying to gather some insight from the proliferation of data. So, as I talk to customers, they want to be able to consume that innovation everywhere because they're moving data into Snowflake data warehouses and moving data into public cloud. Even the big banks are going to start moving data into public cloud over the next few years. So they want to -- I mean, the hard questions I'm getting is we want ubiquity of use in your innovation, and I think there's a tremendous opportunity there. The other thing I hear from customers is honestly, I heard this a lot in network security far too fragmented marketplace. The supply chain of vendors is a hot mess. Some customers deal with upwards of 40 or 50 vendors, 10 on the way in any year, 10 on the way out. And they want fewer vendors. They want less complexity. They want a lot more automation. That's the whole point of this. And so I think -- like I said in the script Michael, I think there's permission for us to leverage our relevance from a tech standpoint and really build machine-like capabilities in both delivering organic innovation, but also integrated -- integrating inorganic innovation as fast as we can while transforming the business right and evolving the go-to-market. And as you're hearing, the team here is trying to do all of this at the same time, and it's certainly no trivial task, but not a lot of our first rodeos here, so really pleased with the progress that we've made so far. I mean, just a tremendous amount of really positive progress. And I think the team that we have here is excited about some of the stage-appropriate changes that we're making. And we really try to do everything that we can based on our experience taking advantage of this massive opportunity. Because I think in three or four years, there's going to be a couple of very large domain vendors in this space and it's going to be someone that does the best job of delivering the right customer experience at the right cost with the right sense of urgency and do it in such a way that you earn permission to come back again.
Michael Turits: All right. Yeah. Sure. So welcome. I'll keep to the discipline and just one question. Thanks very much.
Mark Anderson: Thank you, Michael.
Kevin Rubin: Thanks, Michael.
Operator: Next question comes from Brent Bracelin with Piper Sandler. Please go ahead.
Brent Bracelin: Thank you. I guess first off for Mark here, really encouraged by your ability to continue to attract the quality of new hires here with Dean, Matthew, Jeffrey, Bill, now Suresh today. Great job in a short period of time attracting high-quality leaders. My question is for Kevin here.  I wanted to circle back on the ARR guide which does imply I think 27% ARR growth. I think that is above the 25% outlook that you guided to initially last quarter. Rarely do we see CFOs raise guidance, particularly after a miss. And so, just given the leading metrics in RPO looks pretty weak here, what gives you confidence after missing that ARR outlook for Q4 that warrants a slightly more bullish view on ARR growth going into 2021? What am I missing here? 
Kevin Rubin: Yes. No. Thanks Brent and happy New Year. Good to talk to you. Look I mean as we look at where we're sitting for the year relative to the renewal base we have customer conversations and frankly, more importantly, some of the stage-appropriate changes that we made. You mentioned introducing Dean and Matthew to the team and what they will bring to the organization as they push through their changes through their organizations. We have confidence that we'll exit this year at $625 million in ARR.
Mark Anderson: And Brent if I could just say one thing. Firstly, thank you for the thoughts. I appreciated your research earlier this week. But I want you to know definitively it's not just senior leaders, right? As you know it takes a village to get something really important like helping customers transform their businesses. And so I'm just very humbled by the volumes of people that are coming up and down the organization to do things like Python automation for customer success, to do things like deal desk formulations. So, up and down the machinery that people want to come to a place where there's clarity of purpose and where there's just a tremendous opportunity with that clarity of purpose to go do something fantastic and that's what we think we're going to do.
Brent Bracelin: Great. Well, thank you all. I'll leave it there.
Mark Anderson: Thanks Brent.
Operator: Next question comes from Jack Andrews with Needham. Please go ahead.
Jack Andrews: Good afternoon. Thanks for taking my question. I wanted to touch on the way you view your ecosystem partners, particularly as it relates to the HCL relationship. To me, HCL is a company that engages with technology executives rather than I guess line of business users. And so, I just wanted to better understand how do you think about the different personas that you need to address as you build this ecosystem. Is it -- should we think about multiple personas now in terms of maybe line of business versus data scientists versus IT as well?
Mark Anderson: Yes. Let me tackle the last part of your question because Jack because I think very thoughtful questions, so thank you. On the persona that we're targeting, I think they're changing. I think the persona of the knowledge worker that is making decisions on business transformation, they're like my 25 and 28-year-old daughters, knowledge workers, engineer, or salesperson, they're making decisions. And they're interacting with us electronically interacting with bots on our website and trying this. So, I think we've got to evolve the persona that we target. And the way that we go target them -- CFO is another example of I think in the past, we may have tried to deal with knowledge workers at a lower level, but absolutely CFOs are making budget decisions on transformational priorities. And they're looking to pick domain partnerships to the first part of your question to help them with that. So, firstly, I break the partnerships into two different sections -- two different categories; one distribution/influence partners. Super important for us that I can tell you that we purposely waited with PwC just to make sure that we built the capabilities within Alteryx and then out in the field to be able to federate this relationship and make the most of it as well as have the right kind of resources that can walk into a CFO appointment with a partner from PwC in Zurich and be part of a $100 million transformation deal. So, I think a few things to unpack there. With HCL, I think this is just the beginning of the partnership with HCL. And I think any transformation that's happening these days is happening, of course, across the executive team, but absolutely with the support and partnership from the CIO. And so HCL has long done very well in the office of the CIO. But if you think about the work -- the projects that they're integrating in right now and becoming a large and growing part of their business, this digital transformation is taking them beyond the office of the CIO and into the functional executive leadership. So, I think these give you a representation of what the partnerships -- distribution partnerships might look like in the future Jack that they're going to be large. They're going to be domain Tier 1 and we're going to make sure we build capabilities with our teams to be able to work with these important partners and influencers. Secondly, we've got technology partnerships, like we have with Adobe, like we have with Snowflake. Again, customers are open to multi-vendor solutions. They want the integration of those solutions to be seamless. And guess what; they don't want to do any work on that regard. They want the vendors to abstract the complexity. So absolutely Sharmila and her team are working with Dean and the sales teams to identify the kind of partner that customers are asking us to integrate with, so that the multitude of connectors that we have the multitude of APIs that we build and the software developer kits that we build down the road will make us a really easy company to partner with and do business with. And that's the future state of what customers are expecting: absolute integration and specific business outcomes. So I appreciate the question Jack. Hopefully that was a comprehensive answer.
Jack Andrews: It does. Thanks for your perspective.
Operator: Next question comes from Bhavan Suri with William Blair. Please go ahead.
Bhavan Suri: Hi guys and thanks for taking my question. Mark, it's going to be -- look I'm a big fan of the space what you did in Palo Alto. But just I guess a tougher question here. Analytics has historically never been sold by partners that much. Like system integrated partners sure but not the partner model that was employed at Palo Alto.
Mark Anderson: Right.
Bhavan Suri: And you are bringing on a sales team that is very much Palo Alto and a VAR distributor sales team. So help us and investors because this question has come up multiple times understand, how that transition plays out. How do you get someone who used to get to sell to VARs and CDW and Westcon and we can pick all of them Citrix VMware other Palo Alto partners to committing to driving enterprise sales growth, with large organizations the complexity of what analytics is and that approach. I'd just love to understand a little more color on how you think about that and how that plays out over the next -- again not even the next couple of quarters, but next 24, 36 months.
Mark Anderson: Yes. Bhavan thank you so much for the question. Appreciate it. I agree to a certain extent. I think this space is a relatively young space. I think that's why I'm so excited about the opportunity that we have in front of us. I think we're in early innings as this plays out. And I think we've defined the TAM these days in terms of tens of billions. I think in the future, sometime down the road, not too far down the road it will be expressed in hundreds of billions. And it's going to come with a thoughtful technology that gets proliferated and federated so that it's easy to consume and it adds value for customers. And that value is a priority for that business so that they spend money this quarter not two years from now on that innovation. And it's going to come with the influence of key domain partners. In almost every technology that I've been involved in networking certainly 25 years ago at Cisco and application delivery controllers and security partners play a variety of roles? Some are just pure distribution. We don't need distribution partnerships. We sell software. The distribution -- the pure distribution partnerships that I see from the future they're going to be the likes of Amazon, Google, Microsoft, because they're going to facilitate our customers using our innovation in their environments where they have data. I think the kinds of partnerships that will continue to grow are the regional partnerships because data is continuing to grow Bhavan and it's only getting more obvious that the companies that are going to have some success of getting deterministic priorities from their data are going to be the more successful ones. So listen and I sure hope you give me more credit than you first did. 
Bhavan Suri: I do. I do... 
Mark Anderson: But listen -- but we're not just hiring a bunch of security salespeople. They'll represent the minority of the sales people we add. Rather I'll share with you and the extended team at the Analyst Day, the volume of inbounds we're getting from people all around is quite humbling. And what I'm mostly looking for is people that have stage-appropriate experience in an area where technology is being used to provide important prioritized solutions for customers and in training the amazing team of people that we already have here. We've got some terrific people all across the board. And just giving them some stage-appropriate training to get them on their journey. So it's not going to happen overnight, Bhavan, but definitely feel like partner influence will become more and more important. And over time, that will show up in the productivity line of our salespeople.
Bhavan Suri: And I appreciate that, right? I think that's totally true. When I look at your customers, like McKinsey and BCG and Bain and I think about the strategy to do and how they're all massively -- Accenture invested in Alteryx. It makes sense that the partnerships are going to be different. But it's great just to hear your color and your thoughts on how that might change, right? It's a different partnership than a VAR. And I think you spoke to that. So I appreciate that. I just want to make sure that was clear. So, actually, not negative at all. But there is a shift -- 
Mark Anderson: No, no. I got you.
Bhavan Suri:  -- in Palo Alto operator and Alteryx operator, so I just want to make clear. But, no, I appreciate it and I appreciate the color. Thank you. I’ll jump back in the queue. Thanks gentlemen.
Mark Anderson: Yes.
Operator: Next question comes from Pat Walravens with JMP Group. Please go ahead.
Pat Walravens: Great. Thank you. And Mark congratulations on hiring Suresh. This question will be in that vein. I mean, is it fair to say that -- 
Mark Anderson: So face to face, Pat.
Pat Walravens: Yes, that should be a good one. We’ll see. Is it fair to say that Alteryx is sort of late in getting to the cloud? I think that's sort of the -- that's a pretty common view among investors. And if so, where does that hurt? And where does that maybe not hurt so much?
Mark Anderson: Well, listen, I think -- I don't like to think of it, Pat, in terms of early or late. Honestly, I think, if we had rotated to the cloud a year ago, we'd be in trouble, because the vast majority of large data, our largest customers -- I was talking to one Chief Data Officer of a Tier 1 bank in the U.S. a few weeks back and he said that 1% of his data is in public cloud. It's going to go there over the next five to 10 years. Maybe we'll go fast, depends on a lot of things. But he was asking for me to help our innovation teams spin up the capability, so that it can be delivered in a VPC or from a browser. And so, I think, what Alteryx chose to do and I'm not going to second-guess Dean and the team's decision was, to apply innovation to the amazing set of tools that we have that we're transforming the output for data science -- citizen data scientists. And as I, sort of, quickly learned from customers and from analysts, our technical analysts I spoke with made it very clear to me, that flexibility has got to be something that we got to get better at and removing friction. And so, being able to spin up in those environments or in a multi-tenant SaaS environment, absolutely will be priorities. You'll see dates and a road map from Suresh in a few months at the Analyst Day. So I've been spending a lot of time with him on that recently. Now, so we're going to the cloud, because our customers have told us they're definitely going to the cloud. And our plan is to be fully functional at the time when the market is maturing and I think that's still some time from now. 
Pat Walravens: Great. Thank you for that perspective.
Mark Anderson: Sure.
Operator: Next question comes from Tyler Radke -- 
Mark Anderson: Sorry, if I can just add. But I will tell you, the hiring of Suresh was a targeted hire. We've looked for companies that had made the journey from on-prem multi-versions of their different solutions to make it more available, to be more friction-free. And what I found with a lot of candidates, what blew me with Suresh was the involvement that he had in a number of products from Adobe, who really is, I think, Shantanu and the team did -- I think, still to this day the best job of migrating this journey. And I think we have a lot to learn from Shantanu and certainly, I'm looking forward to learning a lot from Suresh on this. But I think it will be a game changer for us. 
Operator: Tyler Radke with Citi, your line is live. You may proceed.
Tyler Radke: Hey. Thanks. Mark, a question for you. You talked about investing more specifically in product development in 2021. And I'm curious if you could talk specifically on the areas that you're going to be building out. And do you think there were some maybe product issues that contributed to the quarterly performance? And then I just wanted to ask from a packaging or pricing perspective now that you've been in the seat for a couple of quarters are there any changes that you're contemplating making with regards to pricing? Thank you. 
Mark Anderson: Thanks, Tyler. I'll handle the first one -- sorry the second one first. Absolutely. We look at pricing every year. And Kevin is running a tiger team right now just taking a hard look at ways that we can demonstrate more flexibility and reduce friction in our pricing. So we're definitely taking a look at that. And expect more -- again expect more at the Analyst Day Tyler on that. In terms of -- did we see the impact in the quarter from the product? I don't think so. I think a lot of companies were affected by spending habits. And I think the thing that particularly hurt us that we've talked about before is in retrospect we probably rotated a little too heavily in mid-market at the absolute wrong time. And it turned out that a lot of those hires were before COVID. And I was just on the Board at the time and supported the notion, but I wanted to invest a lot more in the G2000 which is what we're doing now. And I think so really repurposing the resources so that we've got the right resources in front of the right customers at the right time delivering the right outcomes. And that's where I think you're going to see us -- and again this will be measured in productivity and sales productivity, but you'll see us improving throughout the year there. 
Tyler Radke: Thank you.
Operator: Our next question comes from Steve Koenig with Wedbush Securities. Please go ahead.
Steve Koenig: Hi, gentlemen. Thanks for squeezing me in. I appreciate it, and that – be able to chat with you. So my question is for Mark. Mark, rewinding a little bit to some of Dean's commentary over the last 12 months to 18 months. Dean had talked about the need for Alteryx to continue to transform itself to becoming a provider of a complete solution as opposed to analytic middleware. And I'm not characterizing Alteryx that way as an analytic middleware company. But Dean did speak a lot about the work to transition to be a complete solution company. And to that end we saw and still see Alteryx doing work in the area of data science solutions to operational and data science. And now we see Alteryx doing work on analytic process workflows and embedding yourself in workflows almost all Informatica, but I wouldn't want to compare. I mean a very self-serve product that's that serves citizen data analysts. So very, very innovative that way. So I'm wondering kind of, which of these pivots do you see as being most instrumental in the short-term or long-term? And are there more pivots to come? And you've spoken about cloud a little bit how does cloud play into that as well? Thank you very much.
Mark Anderson: Yes. Well, thanks Steve. A lot to unpack there Steve. But I think, Dean's previous comments about continuing to transform the business and trend more towards a platform company, I think, we made moves to move along that path developing new products with Connect and Promote and Analytics Hub as well as making a lot of refinements to the innovation over the last year. But I think again so much has happened in the last year that has caused at least every executive I know and talk to on a regular basis Board Members, CEOs it's just a very different world. And the construct of what it's going to take to be a successful business partner in the future I think is going to depend on having more capability in a platform, especially, in a fragmented market like data analytics and data science and advanced analytics and VPL. Yes, so we're really focused on in the near-term focused on capitalizing on the really important outcomes that we deliver for our customers that get represented by some of them. I was talking to a CFO yesterday morning of a large consumer packaged goods company. And he talked about saving somewhere between $100 million and $150 million with their transformation initiatives largely riding on Alteryx. So, we're going to capitalize on building a library of these either workflows or specific business outcomes that can be replicated either in an automated way or can be replicated with a smart group of customer success managers around the field working closely with the team of resources that Dean is going to build to take advantage of the new dynamics and the new persona. So I sure hopefully believe that, the work that's gone into building the fiscal year plan to putting the new resources in the right places and then rolling this out over the last three weeks to the -- or three, four weeks to the extended team in a series of all hand sessions or sales kickoff or all company kickoffs. I really feel like, we're providing the contacts that our associates needs that our customers need to be comfortable about investing either staying with Alteryx in the future, or investing even more with us in the future. And I think Suresh brings to the table the ability to help us with this transformation to the cloud. We have to go to the cloud, because that's where data is going. And if we want our innovation to be able to access data there we're going to have to deliver capability there. And Suresh is really going to be helpful there. Not just him as one person, but him as a leader and a recruiter.
Steve Koenig: Thank you very much, Mark.
Mark Anderson: Thank you, Steve. Appreciate the question.
Operator: Next question comes from Derrick Wood with Cowen and Company. Please go ahead.
Derrick Wood: Great. Thanks. Thanks for taking my question. Mark, you mentioned that you're making changes up and down the organization and we've heard about some of the leadership – new leadership you've put in place. I wanted to get a sense for how much change is taking kind of place at the field level and perhaps what degree of turn or change is taking place at the sales rep level. What are some of the bigger changes you and Dean will be making on the go-to-market side and whether you have anything to share around how much growth in sales capacity you're striving for by the end of the year?
Mark Anderson: Yeah. Well, thanks for the question, Derrick. I think any technology company that has grown – exhibited growth over the years, I would submit that everyone of us takes a look at things like the sales construct and comp plans and all that stuff, and makes necessary tweaks depending on what we've learned in the last year. And certainly, there is a culture of doing that here at Alteryx. I bring a little more of an operational rigor focus, because I think that's necessary at this stage and beyond really to be able to harness eventually thousands of people to do the right things before and after the purchase order is cut. But that was in the details there and having people with stage experience really matters. And so I think – I think you're always sort of tinkering, and always developing, and always evolving. And so what I've seen happen in the past is, you really start to see – my daughter just texted me. Thanks, Monica. You really have to take a look at living in the details. And I think part of what makes the information that I get as CEO here fascinating is, we run a lot of the business on Alteryx and so really getting a lot of insights from all the different data sources that our sales teams use here to be effective. But at the end of the day, a year from now honestly, I fully expect to be looking back at a good successful year of transformation.
Derrick Wood: Okay. Thanks for the color.
Mark Anderson: Thanks, Derrick.
Operator: Next question comes from Chris Merwin with Goldman Sachs. Please go ahead.
Chris Merwin: Okay. Great. Thanks very much for taking the question. I wanted to ask about customers. Obviously, you called out in the script that it was a little bit lower than what you typically have seen historically. But that was – it seemed in part intentional and the sales team is focusing on expansion with larger customers. Can you talk a little bit about why that is the right strategy right now and how you're incentivizing the sales force to that end and just how we should think about that showing up in the metrics on a go-forward basis? Thanks.
Mark Anderson: Yeah. Thanks for the question, Chris. I'll take the first part of that, and then maybe hand it over to Kevin for some more color. I think here's my view on customer count. It's important but -- right? I mean it's important that we're always adding new customers, because new customers on the strength of those relationships and the strength of the outcomes that we deliver from those customers will grow our business. I think as I mentioned earlier, however, at the beginning of last year, we really were focused on a mid-market that has a high volume of customer count. And not coincidentally the mid-market was I think a little harder hit by COVID, which is why we re-appropriated a lot of the resources. But I also think the fun thing for Q4, I think this team just from what I know the folks that I talk to pretty much every day across the field is they're focused on closing out the Q4 closing out with the comp plan that they knew the quota that they knew and getting to accelerators and a little less so on adding new customers.
Kevin Rubin: Yeah. And Chris, look, I would add two pieces. One, focusing on the Global 2000, where we see net expansion rates of north of 132% as well as much lower churn rates, I think just makes a lot of sense. We've talked for quite some time about continuing to focus on those accounts that have the greatest propensity to spend. And I think if you look at the larger organizations that I think we are going to see better targeting of there's just -- I mean that is the lion's share of the opportunity that we're going after. And so, while it may result in a slower total customer growth over time, I think it actually represents a much more significant opportunity to the business, and more importantly, I think a more tangible opportunity of the business.
Chris Merwin: Yeah. Great, thank you very much.
Mark Anderson: Thanks, Chris.
Operator: Next question comes from Rishi Jaluria with D.A. Davidson. Please go ahead.
Unidentified Analyst: Hey. This is Philip on for Rishi Jaluria. Thanks for taking the question. So, I appreciate the commentary on the full year outlook. I was just wondering if you could dig a bit deeper on some of the assumptions at play there on revenue and the macro environment. So I would have thought the last nine months of 2020, you'll be providing a relatively easier comp. I'm just trying to balance that with your expectations on the improving macro environment. So just any incremental color you can share there on what's driving your revenue growth expectation for the year would be really helpful.
Mark Anderson: Yeah. No, that's a great question. Appreciate it. So let's take I guess two pieces. I want to go back and just kind of reiterate how we're thinking about ARR separate and distinct from revenue, because I think there's separate dynamics there. As we think about ARR again, we have the obvious benefit of understanding what the renewal base looks like going into the year. We clearly have historical net expansion rates and what that typically looks like, and then as I mentioned, the go-to-market changes that we think will be meaningfully accretive as we go through the year. I think as we continue to focus on driving ACV and annual value within our accounts, from a revenue perspective, if you think about the inputs and what drives revenue, one of the sensitive inputs ultimately is contract duration. As I mentioned in my prepared remarks, I think we'll probably continue to see contract duration pull in a bit and that ultimately will drive lesser revenue. So, I agree from a comp perspective, just looking at revenue in a vacuum, it probably is an easier comp in 2020 than it was 2019. But I think what you're going to find from a kind of a normalized underlying growth rate that the business is going to accelerate.
Unidentified Analyst: Very helpful. Thank you.
Operator: Next question, Brad Sills with BofA Securities. Please go ahead.
Brad Sills: Great. Hey, guys. Thanks for taking my question.
Mark Anderson: Hey, Brad.
Brad Sills: I wanted to ask a question on the -- hey, there. How’s you doing, Mark? I wanted to ask a question about the visualization cycle. I know that there's just one use case for Alteryx, but it is a key use case. Salesforce is talking about wall-to-wall deployments of Tableau. Microsoft is seeing Power BI expansion opportunity. So it seems like that's a trend within the visualization industry that we're seeing more of these big expand deals. I guess what's your observation, Mark, on that industry in that cycle? And how would you grade Alteryx in terms of getting into some of these bigger expand deals that these companies are talking about? Thank you.
Mark Anderson: Yeah, sure, Brad. I think the expand deals that we're focused on I think like viz is one layer in a very, very like I said before fragmented set of vendors in the supply chain of what goes into applying data science and analytics to the disparate data sources that you have. I think what we're focusing on is just selling those meaningful outcomes that people are prioritizing, because I'll tell you we're not prioritizing campus wine -- the campus-wide LAN upgrades or WAN upgrades. They're not prioritizing new laptops for everybody. They're prioritizing things that are going to help their business be more successful now. And that's what we're really focused on doing. We're going to partner with -- we've been partnering with Tableau for a long time. They make a great viz layer. And most of our customers are great Tableau customers and we're thankful for that integration. So I think the opportunities to do more in this space going a little bit of a different direction Brad, but we're really not ready to talk about that yet. We will for sure talk about that in the spring.
Kevin Rubin: Yeah. And Brad I'd just add a couple more points of perspective. Visualization is fundamentally driving descriptive analytics. And when you think of some of the core advantages of the Alteryx platform, one of those is automation and the other is that we connect to everything. And so being able to automate your analytic pipelining if you want to describe it that way or really automating analytic outcomes and informing downstream systems to make decisions generally is beyond visualization. And so a lot of the use cases and the value that we're providing to customers isn't just that. It's business insight. It's business outcome and very small part of it is actually visualization.
Brad Sills: Got it. Thanks so much guys.
Kevin Rubin: Yeah. Thank you very much.
Mark Anderson: Thank you, Brad.
Operator: Next question Mark Murphy with JPMorgan. Please go ahead.
Pinjalim Bora: Hey, this is Pinjalim on behalf of Mark. Hi, everyone. Thank you for taking our question. Kevin, quick question following up on Chris Merwin's question. Is it possible to understand the opportunity within the G2K in terms of what percentage of revenues are today? What's the current penetration within the base of G2K customers that you have today? And also does it mean -- focusing on G2K, does it mean an over-indexing of investment in the international regions going forward?
Kevin Rubin: Yeah, great question Pinjalim. And happy new year to you as well. Look, I mean, we have just shy of 40% of the Global 2000. I think I mentioned in the prepared remarks, we have 763 of those accounts. Net expansion rates in that cohort of customers is 132%. So quite a bit stronger than what we see in the overall customer mix. And look we're not just only focusing on Global 2000, but the largest customers around the world who have the largest propensity to buy and expand. And so I think if you look at it in that perspective and contrast to kind of what a more traditional standard and enterprise customer would do, I mean, it's just -- it's an obvious ultimate decision there. In terms of your question about international, we are orientating the global organization to really focus on those large opportunities. And where they exist internationally, we will invest heavily in capturing that opportunity. 
Pinjalim Bora: Understood. Thank you.
Kevin Rubin: Thank you.
Operator: Thank you. We are out of time. I would like to turn the floor over to Mark for closing comments.
Mark Anderson: Thank you, operator. In closing, I would like to thank our associates, partners and customers, as well as their families for credible support and resilience in 2020. I expect 2021 is going to be the transformational year that we'll look back upon a year from now maybe two years from now and reflect in amazement as to just how far we've come for our customers, our partners, associates and for our investors. The market is moving very fast. And we plan to seize the opportunities in front of us and solidify our position as the leader and the winner in this very important space.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.